Operator: Welcome to KinderCare's fourth quarter earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers remark, there will be a question and answer session. [Operator Instructions]. It is now my pleasure to introduce Olivia Kirrer, KinderCare's VP of Investor Relations. Ms. Kirrer, you may begin your conference.
Olivia Kirrer: Thank you. And good evening, everyone. Welcome to KinderCare's fourth quarter and full year 2024 earnings call. Joining me from the company are Chief Executive Officer, Paul Thompson, and Chief Financial Officer, Tony Amandi. Following Paul and Tony's comments today, we will have a question-and-answer session. After market closed today, we released our financial results for the fourth quarter and full year 2024. You can find our earnings release and supplemental information in the Investor Relations section of our website at investors.kindercare.com. During this call, we will be discussing non-GAAP financial measures. The most directly comparable GAAP financial measures and a reconciliation of the differences between the GAAP and non-GAAP financial measures are available in our earnings release. Before we start the prepared remarks, note that certain statements made today may be forward-looking statements. These statements are made based upon management's current expectations and beliefs concerning future events impacting the company and involve a number of uncertainties and risks, including, but not limited to, those described in our earnings release and other filings with the SEC. Therefore, the actual results of operations or financial condition of the company could differ materially from those expressed or implied in our forward-looking statements. And with that, I'd like to turn the call over to our Chief Executive Officer, Paul Thompson. Paul?
Paul Thompson: Thank you, Olivia. And thank you to everyone joining us today. KinderCare had a strong fourth quarter, capping a successful and pivotal year, which included our initial public offering in early October and exceptional growth in the business throughout the year. Although we are already in late March, I'd be remiss if I didn't acknowledge and celebrate the tireless work our team members dedicated during 2024 to further our purpose, which is to build confidence in children, families, and in the future we share. Today, Tony and I will dive into our specific fourth quarter financials and provide color on the opportunities we see in 2025. Before that, I'll begin by emphasizing the following key drivers of our industry's long-term growth opportunities and KinderCare-specific competitive advantages. First, demand for quality early childhood education in the US surpasses the supply that exists today. That has been a fact for years. We believe it will continue to be an issue into the future. We remain well positioned to expand access to care for families who need high quality child care through our existing locations and through new centers and acquisitions. Second, KinderCare is by far the largest and most recognizable early childhood education provider in the US. At the end of 2024, we are 20% larger than the next closest provider. That said, the top five providers in the country only make up around 5% of the market. Clearly, there remains a massive opportunity for growth in a fragmented market where multiple players can be successful. Our 55 plus year track record of success combined with our unmatched scale is a massive competitive advantage. Scale allows us to invest in our centers and implement a proven curriculum that aids children's success. In addition, we continue to attract and retain high quality teachers and staff through our competitive compensation, benefits and opportunities for career advancement. Third, KinderCare provides a value to our nation well beyond our financial results. Whether it's a single parent working hard to raise and provide for their children or one of the growing number of young American families with two working parents, KinderCare is leading the ECE industry as a critical enabler and support system for these families to remain in the workforce. We do this through the breadth and flexibility of our portfolio with programs designed to serve families of all backgrounds and means. Beyond our core KinderCare brand, Crème schools cater to the premium end of the market and offer specialized enrichment programs. And our Champions platform provides critical before and after school care, as well as summer programs for school-aged children. We also support over 900 employers with customized child care benefits meant to attract and retain employees. These benefits fit today's evolving work environment, whether that's in-office, hybrid, or 100% remote. We meet employers' needs by offering a breadth of solutions, from onsite centers at workplaces or tuition benefits and backup care options. The flexibility KinderCare provides to meet families where they are is critical for parents trying to balance home and work schedules, all while knowing their children are learning in a safe educational environment. Now, we have received many questions centered on the new administration's stated goal to reduce spending within the federal budget. Based on our research and conversations with members of Congress from both sides of the aisle, we believe that broad support and funding for early childhood education will continue. Access to high quality childcare is foundational to our nation's economy, and Congress continues to prioritize working families through robust investment in subsidy funds via the Child Care and Development Block Grant, CCDBG. This parent choice program provides families with direct tuition assistance through vouchers and has consistently grown over the past 20 years with support from both Republican and Democratic administrations. Additionally, we've heard from lawmakers that expanding access to ECE programs remains a bipartisan priority to support working families and ensure employers have access to the workforce they need. Bringing all this together, from an industry and competitive positioning perspective, we see even greater opportunities for long-term growth and shareholder value creation. Overall, KinderCare's purpose has never been more important. Turning to our business results, we had a strong fourth quarter. Total revenues grew 5% year-over-year, with approximately 1% of our growth fueled by acquisitions. We grew total adjusted EBITDA by 5%, driven by strong execution across multiple growth levers, from enrollment gains and continued tuition strength to new center openings, and for both our B2B employer and champions programs. Next, the portfolio performed well on a same center basis, where we saw a 3% increase in revenue. As a reminder, same center includes early education centers that have been part of our company for at least 12 months. For clarity, this is the first quarter that our same center pool includes 41 Crème centers acquired in 2022, but excludes the Champion sites, which we report separately. We also had a strong fourth quarter with our Champions business. Revenue grew 12%, driven by a mix of healthy growth in new sites and increased enrollment at existing sites. As our growth beyond the same center pool, we are executing against our expanding pipeline of opportunities. In the quarter, we signed agreements with 11 new employer clients, opened two new centers, consisting of one community and one employer-based, and acquired seven new community-based locations. The quarter capped another year of positive performance for KinderCare across all our key metrics as revenue grew to $2.7 billion, up 6% from 2023, and adjusted EBITDA was $298 million, up 12% year-over-year. Same center revenue increased 5% to $2.4 billion while average weekly full-time enrollments were up slightly to 145,000. We continue to see steady demand for our centers, given stretched supply across the US. We believe that macro dynamic paired with our differentiated offering and brand recognition that to continue strong tuition growth and occupancy expansion over the course of 2024. During this past year, we grew occupancy by 90 basis points to 69.8%. The performance was relatively broad based across the portfolio and Tony will share additional disclosure on occupancy in a minute. Overall, we are pleased with the performance and expect our centers to accelerate occupancy over the long term as our operational initiatives gain momentum. We grew tuition rate by approximately 5% during the year and maintained a healthy spread above our wage growth, in line with our long-term target to continuously drive operating leverage. Concurrently, we continue to see high levels of teacher retention at our centers in 2024, which is a testament to our dedication of fostering a highly engaged work culture. Our passionate and talented teachers are the heart and soul of KinderCare, and we know that supporting their development and competence is crucial for continuity of care. This all leads to enhanced outcomes for children and overall performance of our centers. Many families continue to choose us for our focus on a safe environment and the positive benefits we have on their child's academic, social, and emotional development. Families appreciate the stability and flexibility that KinderCare provides. Some families enroll because of our expertise in helping them navigate and access subsidy funding. That subsidy funding represented about 35% of our total revenue for 2024. KinderCare also supports families in partnership with employers through our tuition benefit program. This program enables families to receive a discount to KinderCare through the agreement that we have negotiated with their employers. This represents 20% of our revenue in 2024. We are proud to offer this broad support to families and believe KinderCare's flexible mix of community and onsite centers is highly unique in the industry. This differentiated service offering allows KinderCare to help families and employers where many other providers cannot. Moving on to our 2024 portfolio highlights. We opened 77 incremental Champion sites during 2024 and look forward to continuing that strong momentum in 2025. These additions grew our Champion portfolio by 8% over the year, and given our scale and capabilities, we see significant white space to continue growing our platforms at schools across the US. For the year, we added six new KinderCare for Employer locations and now have partnerships with over 900 employers around the country. We are a valued partner for employers, given we have a variety of offerings designed to meet unique employee needs. One key aspect of these partnerships is how companies are able to support their employees and are increasingly likely to prioritize the needs of our young families, which we believe is a secular change in the US. It is a win for everyone involved and speaks to the importance of employment broadly in this country. Additionally, KinderCare opened six new community centers in the year, dispersed across areas of our footprint where we identified a need within the community and an opportunity for successful growth. In addition, we acquired 23 centers in diversified geographies across the US. Looking ahead, we have a robust pipeline of growth opportunities across the entire portfolio, including new employer sponsored centers, new locations for Crème, and expanding our footprint into new US geographies. We'll share these exciting updates with you as they occur over the next few quarters. As I close out my comments, I'd like to once again emphasize that we are extremely proud that 2024 marked the year of our successful IPO. Congratulations and thank you again to all of our KinderCare employees for your hard work that got us this important milestone. Your consistent dedication to our culture, our purpose, and most importantly, to the families and children we serve inspires me each and every day. I'm excited to see what more we can do together in the years to come. With that, I'll turn the call over to Tony for a more detailed look at the fourth quarter and discussion on our outlook for 2025. Tony?
Tony Amandi : Thanks, Paul. I'll begin with a review of our fourth quarter where consolidated revenue came in at $647 million, a 5% increase from last year. Adjusted EBITDA was $66 million for the quarter and adjusted EPS was $0.09. Diving into the business, our early education centers grew fourth quarter revenue by 4% year-over-year to $593 million, driven by a healthy balance of enrollment expansion, [indiscernible] growth, and new center contribution. Majority of the growth is attributed to same center revenue, which is up 3% year-over-year. As Paul noted, our Crème centers are now included as part of our same center population, and we see opportunity to grow this premium portion of our portfolio, both through conversions of existing KinderCare centers, as well as through tuck-in acquisitions and new center openings. Moving to Champions, year-over-year revenue expanded 12% in the fourth quarter, totaling $54 million. At year-end 2024, our sites totaled 1,025, an increase of 8% compared to a year ago. The business is very healthy and the opportunity across the country's elementary schools remains attractive for Champions, especially given our expertise and ability to efficiently stand up a new location. Recall that Champion sites have a higher level of seasonality than our early education centers due to largely the pacing of each site's individual school calendar. So for modeling purposes and trend analysis, we suggest thinking about the business and its associated revenue on a rolling 12-month basis. During the quarter, we expanded the KLC portfolio with two new center openings, bringing the total ECE new center openings to 12 for 2024. Note that both our community-based and employer-based centers are included with our ECEC center count. In addition, we acquired seven centers in Q4, totaling 23 for the year. As I mentioned, our fourth quarter adjusted EBITDA was $66 million, growing by 5%. Our adjusted EBITDA margin for the quarter was 10%, which is flat year-over-year. Moving to operating expenses, our comparable cost of services, which excludes pandemic-related stimulus, increased 3% in the fourth quarter compared to last year and reflects an increase in teacher salaries as well as our new center growth. Moving to G&A, note that we now incur public company costs and would reiterate our message from the IPO that we believe these largely fixed expenses will decline as a percentage of revenue over time. Our interest expense of $51 million partially reflects the impact from the use of IPO proceeds to pay down existing debt. In conjunction with the debt pay down, we also achieved favorable repricing of our remaining first lien debt to drive further reduction in interest-related expenses and support additional cash flow. In 2024, we made strong progress on occupancy across the portfolio, especially in lower performing centers. Quintile 4 and 5 improved occupancy on average by approximately 310 basis points over the year. Our focus on engagement with teachers and center directors across the portfolio has continued to ramp since the end of the pandemic. To be clear, we see room for occupancy growth across all quintiles, which gives us confidence in our ability to drive long-term annual occupancy gains in line with our target of 1 to 2%. In the supplemental slides available on our website, we have provided quintile occupancy detail on our early education center portfolio, giving you the exact way in which we think about our centers. This level of disclosure was part of our IPO prospectus and it is our plan to provide this update on an annual basis. Before moving to guidance, I'll provide an update on KinderCare's balance sheet and capital allocation strategy. As we mentioned last quarter, our post-IPO use of proceeds was to deleverage the company, which at year end, has net debt to adjusted EBITDA of 2.9 times, well in line with our plans, and below our expected post-IPO leverage of 3.3. At year end, our net debt totaled $864 million, down significantly from the $1.38 billion at the start of Q4. I'll pause here to note that in early February of this year and subsequent to year end, we increased our line on our revolving credit facility by $22.5 million to enhance our ability to further support our growth strategies. That said, we believe that as we grow, leverage will continue to stay around our long-term target of 2.5 to 3 times. Our capital allocation approach will be to continue to fund new center openings, conversions, and tuck-in acquisitions through free cash flow. We believe this is the most attractive return on invested capital. At the same time, we also expect to naturally de-leverage the company through our expanding profitability. As we noted during the IPO, we believe the compounding free cash flow embedded in our model will drive an expanding value creation flywheel and allow for additional M&A and shareholder return opportunities in the future. Finally, we'll conclude the prepared remarks with our outlook for 2025, starting with our guidance for revenue, adjusted EBITDA, and adjusted EPS. We expect revenue to range from $2.75 billion to $2.85 billion, which represents growth of 3% to 7% over the prior year and is consistent with our long-term growth algorithm. We are guiding adjusted EBITDA in a range of $310 million to $325 million for 2025, or a 4% to 9% increase from 2024, which is driven by continued growth, cost controls, and expanding scale on our overall G&A. Adjusted EPS is expected to end the year between $0.75 and $0.85, an increase of $0.40 at the midpoint versus last year. Keep in mind that, for modeling purposes, the 2025 outlook includes a 53rd week, which should contribute $45 million to $50 million of revenue and $10 million to $12 million of adjusted EBITDA. In line with our growth algorithm and the associated evergreen targets, we expect growth to continue to be multidimensional across both organic and inorganic drivers. For full year 2025, we expect occupancy to be relatively flat year-over-year. As we manage our portfolio, know that we can flex our capabilities, serving different age groups to meet local demand where it's most needed, and in addition, putting special focus on our lowest occupancy centers. Tuition for the year will land toward the low end of our 3% to 5% long term growth target. A mix of stable hiring trends and taking price in selective markets will allow us to maintain our spread between tuition and wages. Even more important, we see our high retention rates among teachers continuing through 2025, specifically with our tenured teachers who have been with us for over a year, which will provide further continuity in our centers and sites. Moving to our B2B and Champions pipelines, they're strong and ramping. We expect revenue contribution from these centers and sites to contribute 1% to 2% of our consolidated revenue growth in 2025. Our new center community pipeline for early education centers has us on pace to open 10 to 15 centers by the end of 2025. In aggregate, we expect growth from the pipeline initiatives contribute approximately 1% of revenue at the lower end of the range. Previously, we've mentioned that we made decisions in the year following COVID to lower development pipeline. We have a strong pipeline of centers and development. And as this continues to ramp up, we will be within our 1% to 2% long-term growth algorithm. Through the nature of acquisitions, we will not be guiding on volume of tuck-ins for 2025. However, we do have visibility into a strong pipeline and continue to anticipate contribution to our growth algorithm of 1% to 2%. As a reminder, the revenue contribution for additions to portfolio will vary based on whether they are Greenfield NCOs or tuck-in acquisitions. Closures continue to be a portfolio management tool. It's important to note that we view these actions as consolidations because we make every effort to support those families and our teachers at nearby sister centers. Finally, we see adjusted EBITDA margin improvement through our spread between tuition and expenses and continued leveraging our G&A to efficiently support operations and growth initiatives. To summarize and echo Paul's commentary, the overall industry dynamics continue to be favorable for us due to our broad and diversified offerings to families and employers, and KinderCare has significant competitive advantages to drive meaningful growth because of this positioning. As a management team and organization, we're excited to execute our growth initiatives for 2025. With that, I'll turn the call over to the operator for your question.
Operator: [Operator Instructions]. Your first question comes from Andrew Steinerman with J.P. Morgan.
Andrew Steinerman: Thanks for the guidance for 2025. Could you give us a sense of how first quarter is trending up until now, given that first quarter 2025 is almost over, really, relative to how you guided for the year? And then also, Tony, if you can mention for the fourth quarter 2024 that you just reported, now how much of the revenue came from any of the M&A acquisitions that happened over the last 12 months?
Tony Amandi: Let's start with that one. So fourth quarter, we had $4.6 million of revenue from acquisitions that weren't included in the same center number. As far as the quarter, so we're going to be continuing to give guidance to annual as we go and we'll update that every quarter. What I'd say is that, the guidance should hold for what we told you for the year. And that's what we're kind of seeing in the first quarter so far.
Operator: Your next question comes from Tony Kaplan with Morgan Stanley.
Toni Kaplan: Paul, thanks for the comments on government. I did want to just try to ask maybe in a different way. Could you just talk about, maybe just some clarity around how much revenue is tied to US federal government. We can see sort of in this slide, the last slide in the appendix that, most is in the CCDF, most is federal, but just wanted to get a sense there and anything you're hearing around CCDF funding for 2025. I know you said there's broad support in Congress, but I think investors are really focused on what could happen with DOGE and things like that. So that's the main question.
Paul Thompson: The revenue dollars we receive through the block grant is roughly 35% of our revenue. So that is the bulk of what you're asking about. Implied in one of your questions, the Department of Education has very little impact on our industry. As you know, the Health and Human Services Department are the ones that administer the block grant itself. We were in DC a few weeks ago, had the opportunity to meet with members of Congress, both the House and the Senate budget recommendation, both actually have increases to the block grant. So that's why when you hear from us, the bilateral support, bipartisan support and continued support overall for what we're seeing and what we would believe is a very durable part of our business of supporting those families, we expect that to continue and be important part of our growth in the future.
Toni Kaplan: Just as a follow-up, still related, is there any government funding that goes through Champions and also I'm imagining that Crème is probably zero as well, but just wanted to nail down those two.
Paul Thompson: Both for Champions, as you said, it's minimal, and for Crème, even less than that. So very close to nothing for Crème.
Operator: Your next question comes from Manav Patnaik with Barclays.
Ronan Kennedy: This is Ronan Kennedy on for Manav. Can you please remind us of the playbook for centers across the various cohorts, but I think especially the ones in the lower. You'd reference initiatives that worked well 2016 through 2019 and those being reinvigorated in the middle of 2024. How did you progress with that and what are the expectations for cohort initiatives for 2025?
Paul Thompson: As you mentioned, we do have different playbooks based on the underlying factors within each of those, as we refer to them as, quintiles, but the cohorts as you're referring to them. Not surprisingly, when we have a center that's over 85% occupied, we look at those as more about sustaining the experience in the classroom that exists today and recognizing that we have more pricing power in those centers. And that's the way we approach that end of our portfolio. On the other end, as you described, we mentioned that we brought back a lot of practices from 2019 and before, and seeing some good reflection of that. In the supplemental documents, you'll see the improvement in occupancy in our fifth quintile. But at its core, it is doing more with engagement because establishing that relationship with our teachers for continuity of care and with our families really helps with the retention of those children and for their enrollment. So that's the way we think about the playbooks and the diversity of how we approach that in the Quintile 5 centers.
Ronan Kennedy: If I ask my follow up on the guidance, can you talk about what would take you to respective higher, lower ends of the range for both revenues and margin, cognizant of an element of flow through with the higher revenue, but kind of the puts and takes to the guided range there, please.
Tony Amandi: You're speaking to it directly, right? So the first thing on the EBITDA, Ronan, to start there would be obviously the revenue guide will take you to either end of those. On revenue, obviously, as we continue to grow throughout the year, there's always opportunities with occupancy and with some of the things Paul just talked about in some of our playbooks and some of our things that we've put in in the digital world that we've told you about. We're still seeing some green shoots. There's always that opportunity to continue to drive that up. As far as tuition rate, our tuition rate went in on January 1st and it's something that we have ability to flex if needed, but that's one where we likely know where it's going to land, and so that one likely doesn't adjust much from where we're guiding to. The NCOs, I'd say, similarly are something that we know that's pretty well baked. We've got walls up and things like that. So, for those are pretty well baked in what they are. Acquisitions would be the one where if the market stays as robust as we thought in the back of that last year and into the start of this year is one that I think you could see flex up as well. Then on EBITDA outside of revenue, it's just the continued cost controls that we have. We are, I think, leading edge on what we're doing as far as labor and control of labor costs, and so making sure we're providing the right number of teachers for our families and doing that in efficient way that makes sense for the bottom line. And then spending our G&A and all our investments in the right way as well gives us the ability to flex that as well as we've talked about in the past.
Operator: Your next question comes from George Tong with Goldman Sachs.
George Tong: Within your B2B employer sponsored business, can you talk a little bit about how occupancy rates are trending and, over time, what your steady state expectations are for occupancy once we get back to pre-COVID levels?
Paul Thompson: What we refer to as our foreign player on site, our occupancy is trending in the high 70s. We're pleased with that, but also know there's an opportunity to further expand those centers and expand the relationships we have with those employers. And then more importantly, a lot of the employers coming to us like the flexibility we can provide to them of not only their employees coming to our onsite centers, but coming into our community centers, whatever works best for their lifestyle or the way that they're working remotely or going into the office 100%. The flexibility we provide has resonated quite well. Got it. That's helpful.
George Tong: Just to follow up on the employer sponsored opportunity, how much growth going forward do you expect in terms of new center openings from this particular channel? And do you expect an acceleration as you look at specific markets that have a gap in supply and demand for child care services?
Tony Amandi: I think as far as numbers, George, we'll see similar to what we saw this last year, right? I think we'll see low, mid, single digit number of centers directly tied to employers. Could we see that ratchet up a little bit more with what you're saying? Potentially. I think it's more something that we see that opportunity from the tuition benefit side more so with what you're speaking to.
Operator: Your next question comes from Jeff Silber with BMO Capital Markets.
Jeff Silber: I wanted to go back to the guidance. I think you had said you expect tuition increases to be at the low end of the 3% to 5 % range. Is there anything driving why you raise tuition at the lower end? Were you seeing family pushback or competitive pressures? Any color would be great.
Tony Amandi: We talked about, in the past, we really start from, when we're looking at pricing, looking at our cost out there right, and the biggest one obviously being teacher wages and look at, A, where our teacher wage is, where do we expect them to be over the next year. And then, obviously, that's coupled with how retention is going and what we see about that. So, we start with that as the primary one. After that, we are factoring in at the community level everything you'd expect us to, Jeff, competition, engagement at our centers, and all those sort of factors. And so, we are confident we could be at the lower end of the range this year and still drive great margin between our wage rates and our tuition rate, bringing dollars to the bottom line and kind of return to shareholders while still staying in the lower end of the tuition range.
Jeff Silber: I know you talked a bit about what's going on in the federal government, but it's my understanding that the federal government gives the money of the CCDBG to the state and then the states allocate it accordingly based on different formulas. And I'm just curious, are you hearing anything at the state level in terms of budgets, in terms of things that might change going forward because they're under pressure in other areas?
Paul Thompson: Nothing that I would call attention to, Jeff. As you said, because we have the subsidy team we've talked to you about in the past, and it's a team of 150 people that have direct relationships with those agencies across the states, we do have an ongoing dialogue with them, but nothing that they're saying or mentioning to us is calling out a concern of a shift from what we've been experiencing over the past year.
Operator: Your next question comes from Faiza Alwy with Deutsche Bank.
Faiza Alwy: I wanted to put a finer point on the guidance. I know you talked about flat occupancy. Is that at the midpoint of the range? And then it sounds like you're pretty comfortable with the three points of pricing. So just want to clarify, like what have you assumed in the guide for acquisitions and for NCOs, maybe at the midpoint, recognizing that there can be upsides and downsides, particularly to those two things.
Tony Amandi: I'd say our occupancy, flat at the midpoint of the range. And I that's fair as you look at the tops and bottoms, right? And it's not necessarily a super wide one, but based on what we're seeing right now and what we know historical FTE curves look like throughout the year with the different points, that's where we're pivoting from is at that midpoint right now flat. As far as NCOs, it's kind of that 10 to 15 range of number of centers open with some of the flex up and down just being timing in the fourth quarter, right? So a lot of that flux comes in the fourth quarter of do they get pushed or not just with construction and how that normally goes is why we're ranging that in there because those are known under build right now. It's more timing. And as far as acquisitions, I'd say the kind of midpoint is right about what we did last year, I think is a good guide for you to think about as we think about what we're doing as midpoint as far as acquisitions, which we did in 2023 last year.
Faiza Alwy: Just taking a step back, over the last month or so, consumer confidence has been down and increasingly we're hearing sort of probability increase around recession. And I know you said that, so far, in the first quarter, things seem to be tracking in line, but give us a sense of what are some of the levers that you could pull and what impact might you see if things sort of get worse from a macro perspective?
Tony Amandi: I think if we were to see something that would say situation is getting worse, Faiza, I'd go back to my comment about labor earlier, right? We have a lot of faith in what we're doing as far as labor and the algorithms we have, but more importantly, the systems we have and the processes we have around that. And so, that's the easiest and simplest one of, like we're able to control labor week to week, month to month for whatever's happening. And so, I think that'd be one. I think hopefully, as you'd expect it, I we are a keen eye on all of our additional costs, both in G&A, but I'd also both in capital as well, a significant amount of our capital is discretionary in nature and is something that we can put controls on if we need to as well.
Operator: Your next question comes from Jeff Meuler with Baird.
Jeffrey Meuler: I guess other than kind of like the current run rate and doing your typical modeling on occupancy, is there a reason why you're expecting it to only be flat? I asked from the perspective that it looks like you had really good momentum in like the lower quintiles in 2024. I'd expect that to continue in addition to various other initiatives. I think I would expect it to go higher.
Paul Thompson: The way we think about offering you that insight is to give you perspective on the trend we're seeing right now and to give you the perspective of what we think things will continue through 2025. Rest assured the team's working hard on elevating our operational practices across those centers that have opportunity to further supercharge the enrollment within them. And it’s also to what we've talked with you before, some of the tools that we've brought out to our portfolio are still gaining traction and gaining the adoption across the team and we see encouraging things from that, but until they specifically resonate, we're keeping you in line with an occupancy that will remain relatively flat. But also, as you acknowledge, we have many levers of growth to grow our top line and grow our profitability. And that's what we're focused on of doing that in the most efficient way through the remainder of this year.
Jeffrey Meuler: Maybe just put a finer point of something you said on guidance, Tony. When you said that you're not guiding to the volume of tuck-ins, are you saying that guidance does or does not include some assumption of revenue contributions from future tuck-in acquisitions. I guess I'm just wondering if it's, you're just not giving us the number or if you're not assuming anything from…?
Tony Amandi: That's a great clarification question. Just not as far as wanting to do a range of centers, right? Just because EBITDA and revenue from centers comes differently. But included in our revenue guide was the 1% to 2% in the algorithm that we talked about.
Operator: [Operator Instructions]. Your next question comes from Josh Chan with UBS.
Joshua Chan: I guess, could you talk about how fall enrollment trended versus your expectations? I think previously you had talked about expecting some improvement, I guess, at least versus the prior year.
Paul Thompson: The overall trend, as you saw from the numbers Tony called out, we had a good enrollment path through the fourth quarter, largely in line with everything we talked to you in August and through the IPO. So that turned out the way we expected. So nothing more of color that I could offer to you beyond that.
Joshua Chan: Maybe a question for Tony on the guidance. Is there anything to think about in terms of like cadence of growth through the year? I know that Q4 has an extra week and so obviously that impacts the growth, but is there any reason why growth should deviate significantly from between one quarters of the next versus the full-year average?
Tony Amandi: No, I think about you know similar trends we've had in the past, right, Josh. When I think about EBITDA, we usually start kind of the that march up in Q3, then to Q4, Q1 to Q2 sequentially just as far as kind of a natural growth of students go kind of from the start of school year to the summer. That said, it's all within a couple hundred basis point at most percentage of the full year, so it's pretty sequential and there's nothing big known this year that would change anything from history.
Operator: There are no further questions at this time. I will now turn the call over to Paul Thompson, CEO, for closing remarks.
Paul Thompson: Thank you, Joelle. The strong fourth quarter ended a great year for KinderCare, where we added to our long track record of revenue growth, successfully completed an IPO, and grew our portfolio to serve more families and children. Early child education is critical for the American workforce, and as the largest provider in the US, we embrace our purpose of building confidence in children, families and in the future we share. Looking forward to 2025, we expect to have another solid year of performance in line with our long-term growth algorithm. Thank you to all who listened in today and we look forward to speaking with you again when we release our Q1 results.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.